Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to the Hydrofarm Holdings Group Third Quarter 2023 Earnings Conference Call. At this time, all participants have been placed in a listen-only mode, and the lines will be open for your questions following the presentation. Please note that this conference is being recorded today, November 9, 2023. I would now like to turn the call over to Anna Kate Heller at ICR to begin.
Anna Kate Heller: Thank you, and good afternoon. With me on the call today is Bill Toler, Hydrofarm’s Chairman and Chief Executive Officer and John Lindeman, the company’s Chief Financial Officer. By now, everyone should have access to our third quarter 2023 earnings release and Form 8-K issued today after market close. These documents are available on the Investors section of Hydrofarm’s website at www.hydropharm.com. Before we begin our formal remarks, please note that our discussion today will include forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from our current expectations. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. Lastly, during today’s call, we will discuss non-GAAP measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP and reconciliations to comparable GAAP measures are available in our earnings release. With that, I would like to turn the call over to Bill Toler.
Bill Toler: Thank you, Anna Kate and good afternoon everyone. We're pleased that in the third quarter we achieved adjusted EBITDA profitability for the second quarter in a row. The successful execution of our restructuring and related cost-saving initiatives has driven significant improvement in our adjusted gross profit, which was also driven by greater emphasis on our own proprietary brands, which typically carry a higher margin. Our quarter-end cash balance is the highest it's been since the second quarter of 2021, putting us in a much stronger position as a result of our laser focus on optimizing our business to drive profitability. We've maintained our dedication to excellent customer service and on-time deliveries, even as we reduce costs. While we've implemented operational changes, our distribution footprint remains customer-centric and we maintain our commitment to providing top-notch service. We're glad to report that even at current sales levels, we've achieved significant progress in many areas this quarter, delivering both adjusted -- positive adjusted EBITDA and strong free cash flow. Our primary focus at Hydrofarm continues to be diversifying our revenue stream and controlling costs, whether it's through right-sizing the company, improving operational efficiency or emphasizing profitability throughout everything we do. I'll start by highlighting a few positives on the top and bottom line in Q3. Our proprietary Nutrient business, which is one of our highest margin product lines, again delivered a strong performance. We saw excellent results in numerous key proprietary brands, which contributed nicely to this quarter's margin expansion. Our proprietary brand Nutrient sales grew over 20% versus third quarter of last year, in large part to our great brands, including House & Garden, Grotek and HEAVY 16. We also continue to enhance the diversity of our revenue streams with a growing proportion of sales originating from customers outside of the US and Canada. Additionally, we observed an uptick in sales year-to-date versus last year from non-cannabis CEA applications, including food, floral, lawn and garden, making our progress in diversifying revenue sources. I'm pleased to announce that our restructuring and related cost savings actions have been successful as evidenced by our strong year-over-year improvement of adjusted gross margin and adjusted SG&A, as well as positive adjusted EBITDA for the second quarter in a row. We still have work to do, but these improvements demonstrate significant progress. Given the current industry backdrop, we initiated a second phase of restructuring, focused primarily on our durables business, which John will talk about more in a moment. We will continue to control what we can by driving improved brand mix, distribution center and manufacturing productivity and reducing SG&A. I am encouraged by our team's discipline and execution during the quarter, achieving adjusted EBITDA profitability of these lower sales rates and adjusted gross margin improvement that we saw in the third quarter versus last year is a testament to the success of our recent actions, which has put us in a stronger position heading into 2024 and beyond. We are seeing positive momentum from a regulatory standpoint, and we remain confident the industry will return to growth. Several potential catalysts on the horizon for the cannabis industry, the first is the possibility of now the SAFER Banking Act and federal descheduling or rescheduling, which could inject new light into the industry by attracting renewed investment from both institutional and retail players. Another notable catalyst lives in the U.S. states where adult-use cannabis has been approved, but there's been a slow start, but now these states are starting to position themselves for significant growth. And Ohio, it's a recent addition to the list, having just legalized adult-use cannabis on November 7, making it the 24th state to do so. We are hopefully Ohio state legislator will follow the will of the people and approve this measure. Being the seventh most populated state in the U.S., this is certainly significant, and it actually pushes the total U.S. adult use population to over 50% for the first time. There is increasing momentum in additional states as well like Pennsylvania, Virginia and Florida, where we believe we may have fully legalized adult use cannabis on the ballot in the near future and have successful to expand the industry's reach and present new growth opportunities. With that, I'll turn it over to John to further discuss the details of our third quarter financial results and our outlook for 2023. John?
John Lindeman : Thanks, Bill, and good afternoon, everyone. Net sales for the third quarter were $54.2 million, down 27% year-over-year, driven primarily by a 22% decrease in sales volume. We realized a price/mix decline in the quarter, much like we have for the last several quarters and as we expect for the full year. Our 5% price/mix decline in the quarter, it's primarily due to promotional activity in both durable and consumable products. Our price/mix decline in the period was also driven by a higher mix of lower-priced consumable products relative to higher-priced durables. Despite some competitive pricing in the grow media category, we still experienced much stronger top line performance in our consumable products relative to durables. In fact, consumables represented approximately 75% of total sales in the quarter, up from 67% in Q3 last year. Much of this shift was influenced by a broader industry trend of weakness in durable products. In particular, sales of lighting and equipment commonly used in new expansion projects or newly established grow operations. This mix change is also a reflection of the demand for several of our higher-margin proprietary nutrient brands. As Bill mentioned, our proprietary nutrient brand sales grew double digits in the quarter, compared to the same period last year. In an industry environment in which growth is hard to come by, we are really pleased with our Q3 top line growth in our key proprietary nutrient brands. In connection with our strong nutrient performance, our proprietary brands as a whole in Q3 mix slightly higher on a year-over-year basis and remained above 50% of our total sales. In addition to the favorable brand mix, we recognized sales improvements in a few key geographies this quarter. Sales to customers outside of the US and Canada increased over 20% in Q3, which now marks the third consecutive quarter of year-over-year growth. In addition, during the quarter, we experienced good year-over-year momentum in hydroponic sales to our Canadian customers. And in the US, we experienced some pullback in the quarter in several key western states, namely California, but this was partially offset by relative strength in several states in the Midwest and in the Northeast. Gross profit in the third quarter was $3.3 million compared to $5.9 million in the year ago period. Adjusted gross profit was $12.5 million or 23% of net sales in the third quarter compared to $7.8 million or 10.5% of net sales in the year ago period. This strong over 1,200 basis point improvement in adjusted gross margin as a result of continued reduction in inventory charges, improved brand mix, reduced freight costs and improve productivity. And while we are relatively pleased with this improvement, I should note that adjusted gross margin would have been another 200 basis points higher if not for an approximate $1.2 million nonrestructuring inventory charge we took in the quarter. Though we assess inventory values each quarter, we do believe the inventory charge we took in Q3 is a relatively isolated charge. And as you read in the Outlook section of our earnings release this afternoon, we still expect minimal additional nonrestructuring inventory charges for the remainder of the year. Given the considerable progress we have made thus far on improving adjusted gross profit margin, we have initiated a second phase of restructuring. Phase 2 is centered on rightsizing the elements of our business associated with durable products. And so this has emerged as the most challenged segment during the industry slowdown. In the third quarter, we recorded $7.8 million of restructuring expenses associated with reducing our durable manufacturing footprint, and writing down the value of raw material inventory in connection with vacating storage space. And I should note that while we are reducing our manufacturing footprint, we are not eliminating any key manufacturing capabilities. We expect the second phase of the restructuring to result in annual cost savings of approximately $1.5 million, the bulk of which we will begin to realize in fiscal 2024. Our team is working hard to improve the structure of our business, we are optimistic by the progress from Phase 1 and look forward to continuing to execute on Phase 2 to real further cost savings in 2024. I look forward to providing another update on our restructuring efforts on our year-end call in the New Year. Selling, general and administrative expense was $19.5 million in the third quarter compared to $26.2 million in the year ago period. Adjusted SG&A expenses were $12 million, down from $16.8 million last year and our lowest quarterly total since before going public in late 2020. The $4.9 million reduction or a 29% decrease was primarily due to reductions in headcount, professional fees and lower accounts receivable reserves, primarily a result of the restructuring plan and related cost-saving initiatives. Adjusted EBITDA was $0.5 million in the third quarter compared to a loss of $9 million in the prior year period, representing positive EBITDA for the second quarter in a row. The $9.5 million increase was driven primarily by our lower adjusted SG&A expenses and higher adjusted gross profit. We are also now adjusted EBITDA positive for the nine months year-to-date through September 30. Our ability to generate positive EBITDA and lower sales levels is encouraging and is a testament to the effectiveness of the restructuring and cost-saving initiatives. Moving on to our balance sheet and overall liquidity position. Our cash balance as of September 30, 2023, increased by $5.8 million during the quarter to $32.5 million. And while we ended the quarter with approximately $123 million of term debt and approximately $133 million of total debt, inclusive of finance lease liabilities, the considerable increase in our cash balance over the last two quarters, now has helped to drive our net debt down to approximately $100 million. As a continued reminder, our term loan facility has no financial maintenance covenants. Principal amortizes at only 1% annually, and our debt facility does not mature for another five years in October 2028. We continued to maintain a zero balance on our revolving credit facility throughout the third quarter. We had positive free cash flow again this quarter as we generated net cash from operating activities of $7.7 million with capital investments of $0.8 million, yielding positive free cash flow of $6.9 million. We continue to aggressively convert our working capital into cash, helping us to generate positive free cash flow in the full nine-month year-to-date period. With that, let me turn to our full year 2023 outlook. We are reaffirming expectations of net sales in the range of $230 million to $240 million. We now expect our top line results to be around the lower end of that range. With the strength of our cost-saving efforts and the performance of our proprietary nutrient brands, we are reaffirming modestly positive adjusted EBITDA for the full year. We also still expect to generate positive free cash flow for the full year. I should note that we did lower our expectations for capital expenditures to $4.5 million to $5.5 million for the full year, down from $7 million to $9 million previously. As we slowed our spend in Q3, while we are finalizing our plans for the Phase 2 restructuring initiatives. With our Phase 2 plan now established at the end of Q3, we do expect our CapEx spending to pick up in Q4 and into early next year. In closing, we are encouraged by the improvement in profitability that we achieved through the execution of our cost saving initiatives. We remain optimistic about the future of the industry and the growth opportunities for Hydrofarm in 2024 and beyond. We look forward to providing further updates next quarter. This concludes our prepared remarks and are now happy to answer your questions. Operator, please open the line for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Peter Grom with UBS. Please proceed with your question.
Peter Grom: Thanks, operator. Good afternoon guys. Hope you're doing well. So Bill, I wanted to ask specifically around your confidence, you mentioned the industry returning to growth. And, obviously, it's been a couple of years here. But you did touch on a lot of positive development. So is this something that you think can actually occur as we look out to 2024, over the next 12 to 18 months, or is the exit rate we're seeing in 4Q, I think the implied guidance is call it like a mid to high-teens decline. Is that a fair run rate to start the year at? Thanks.
Bill Toler: Yeah. Hi, Peter, good question. I think it is a fair rate to start the year at, but I think there are a number of signs that are pointing toward growth in probably, let's call it, sometime in 2024, maybe the back half of 2024. Our backlog on our durables bids is starting to bid a little bit. The commercial activity is picking up some. You're seeing these states that have been woefully slow and rolling out, starting to do some things, whether that's New York or New Jersey or Connecticut, they are all starting to pick up. Maryland has been pretty good, Missouri is getting better. All those things are starting to turn a bit. I think you're going to see, and we have seen that in addition to the legislative stuff that we talked about. And those things can be a few months away. They can be a few longer than that a way. We don't really know at this point. But all that is pointing in the right direction. But as you said, it's been an elongated difficult period of time for all of us. And so we are hesitant to call anything until we see it, and we're kind of planning as if it's going to run at a certain rates it's running at now. And keep getting costs under control, keep managing the mix and keep looking at your assets to find ways to create a more profitable company.
Peter Grom: That's super helpful, Bill. And then I guess just maybe a follow-up from a margin perspective and maybe more of like a long-term question, right? It's obviously very encouraging to see two straight quarters of positive EBITDA on a lower sales base. But can you maybe frame in the context of the restructuring you've done, you announced the second restructuring today, other cost saves like what really is achievable from a margin perspective, particularly if we start to get some stabilization or growth in the back half of next year, obviously, several years ago, you had some more ambitious goals from a profit standpoint. But just in the world we are in today, I think it would be helpful to kind of frame like what's really possible. And how long you actually think it can take to get there?
John Lindeman: I'll jump in on that one. Thanks, Peter. Great question. Yes, I mean, I think if you look at the past three quarters, our adjusted gross profit margin has been running around 24%. I mean we've had sort of two quarters where it was 23%. One quarter, it was 27%. Frankly, the quarter we just finished, as you saw me call out in our prepared remarks, I think we put up a 23% adjusted gross profit margin. But really sort of 200 basis points higher when you take into consideration the charge will be incurred during the period. So I think if we were to get just a little bit of cooperation from the industry and a little bit of growth, I think we could look at something in the 23% to 25%, maybe a little bit better than that sort of adjusted gross profit margin. And when we talk about adjusted SG&A, we're kind of running right now around this $12 million to $13 million kind of range on an adjusted level, which is down nearly $3.5 million, $4 million from where we began the year. So as we go into 2024, we're going to get some last benefit from that, just quite simply from the savings that we've already instituted and already received some benefit from. You also heard from the restructuring effort Phase 2 that we're putting in place, we're expecting $1.5 million of additional savings there. So I definitely feel like we've got some more opportunity in front of us with respect to growing the margin at the EBITDA level from here.
Peter Grom: That's super helpful. Thank you so much. I’ll pass it on.
Bill Toler: Thanks, Peter.
Operator: Our next question comes from Jesse Redmond with Water Tower Research. Please proceed with your question.
Jesse Redmond: Hi, guys. I had a question on the product side, as we've chatted before, I always enjoy using your products and personally like your roots organic line or the things that I do in my backyard every season, but I know you've also been working on some proprietary nutrient brands. And I'm just wondering if you had an update there or you could talk a little bit about how those are performing.
Bill Toler: Yes. Thanks, Jesse. And probably the strength of our portfolio and embedded in all this adjusted gross profit progress has really been the proprietary nutrient brands. I mean whether it's House & Garden, which honestly, over the last three years has been our most consistent business, whether it's HEAVY 16, which had had a tough year last year, but it's come back Gangbusters, or finally Grotek, which was a business that we bought out of Canada. It's always been distributed by us in both Canada and the US, has a great presence in Europe as well. Grotek has always done well in the Asian community and we've really been able to tap back into that market this year and we've had kind of two quarters in a row of just outstanding growth on that brand as well. But the proprietary Nutrients are really kind of the core of where we're making our money if you will. And I know we're not making a ton of money yet, but it really is driving the higher adjusted gross profit results that we're seeing and it's been an important part of kind of how this year has held together for us on a positive adjusted EBITDAI and also creating free cash flows. So good progress on the Nutrients. They're really the centerpiece of our entire proprietary branded offering.
Jesse Redmond: Do you see any trends in terms of, I could see this a couple of ways when I'm talking to operators, there's people that are interested in growing great flower and want to spend more money to get higher THC numbers and more terpenes and maybe more in the premium part of the market. So we're looking to spend more on that side to create better products. But also we recognize there's a lot of margin pressure. And one thing I've been hearing in some of the MSO calls is people -- consumers are shifting down and going more towards value lines, which makes me think that providing affordable solutions may be of more interest. Curious where you're seeing the push and pull on that side if you're seeing people that are looking for more value conscious solutions, or if you're also seeing people that are looking for whatever is going to push the plant to its maximum potential?
Bill Toler: Yeah. I think you're right. There's a wide spectrum of demand curve out there, right? And the margin pressure and the overall kind of glut of product over the last couple of years has caused pricing to drop way down. And so people then -- the corresponding reaction to that is they want to get cheaper inputs and cheaper cost of goods for growing. And so we've seen some of that. So what we've launched -- we've launched a house and garden dry product, which is a real value orientation instead of having the liquids, which of course you ship the water and you ship the dilution factor there. So the dry product really gives people a value-oriented way, yet it still has the high quality House & Garden branding on it. That's one of the things we're doing. We also offer a range of products both in our proprietary line and in our distributed line, whether it's the Guy Green products, whether it's the Moab, the mother of all Bloom products, all those that really are part of our portfolio that enable us to give people value, enable us to give people quality and it does allow for the folks to get that wide range of the things you outline which is some multimax terpenes, some multimax THC, some just want a consistent product of what they've had before and others play in that price market as well. We begin doing some work on sourcing kind of all the way back to the core raw materials to work with our growers on so that we're able to work with them and it gives them the access to the product that they perhaps even want to mix their own. So we're really adjusting our approach to the market to reflect what each of our growers need and there's a wide range of them out there as you suggested Jesse.
Jesse Redmond: Great. Thank you guys. That's really helpful.
Bill Toler: Appreciate it. Appreciate the question.
Operator: There are no further questions at this time. I would now like to turn the floor back over to Bill Toler for closing comments.
Bill Toler: Great. Thank you all for your interest in Hydrofarm. We appreciate you being on the call. We look forward to updating you soon on other activity in the business. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.